Operator: Ladies and gentlemen, thank you for standing by and welcome to the VivoPower International PLC Fiscal 2021 Full Year Earnings Conference Call. At this time, all participant lines are in a listen-only mode. [Operator instructions] I would now like to hand the conference over to your speaker today, Kevin Chin, Chairman and CEO. Please go ahead.
Kevin Chin: Thank you and welcome everybody to earnings results call. I am going to start on Page 2 of the presentation. So in a nutshell, it’s been an unusual year. We have had results impacted by COVID lockdowns. But we have also delivered some transformational milestones which have really transformed the growth trajectory of the company. Group revenues were down 16%. That compares to $48 million for previous year. And as I mentioned, that’s driven by COVID-19 related lockdowns, which caused operational disruption and project delays in our Australian business. That figure includes a $1.4 million contribution from Tembo for the 8 months that we owned that business since acquiring it back in November 2020. That’s slightly below where we expected it to be, again, based on border closures that impacted deliveries to Australia. Gross profit declined as well by 11% due to the fall in revenue. This was partially offset by some margin improvements. So, gross margins increased from 14.7% to 15.6%. As a result of some efficiency gains, we were able to eke out a critical power business in Australia. Our overheads increased deliberately due to investments that we made in people’s systems, IT equipment, in particular for underpinning growth OpEx to support hyperscaling. That includes $1.9 million invested directly into Tembo and that’s principally the recruitment of hardware, software and embedded engineers. And there was $1.1 million of non-cash share remuneration that was shared amongst the team. EBITDA declined due to principally the increase in overhead, so our underlying EBITDA fell to $1.4 million versus $3.9 million profits in the prior year. And that’s to clarify, that’s a loss of $1.4 million. We also incurred just under $3 million of non-recurring charges that’s primarily related to final litigation costs pertaining to the former CEO. That figure also includes some expenses, transaction expenses relating to the purchase of Tembo. Of note, our balance sheet was significantly improved versus this time last fiscal year. So, that was principally because of $32 million in net proceeds raised from equity issuance, through an F1 and through an ATM facility as well. Our cash balance at the end of the fiscal year rose to $8.6 million from $2.8 million. And in terms of where we have invested, the rest of the monies that were raised $7.1 million was invested to purchase Tembo. We invested further $5 million – just under $5 million in terms of growth OpEx, as previously mentioned. $6 million is obviously attributable to the cash increase. We reduced net debt by $9 million or rather debt by $9 million, $3 million went to non-recurrent costs and $2 million went to other costs as well as interest. The Tembo acquisition obviously has delivered transformational change to the business. Pleased to report that we are tracking ahead of schedule as far as where we thought we would be, particularly with respect to global distribution partnership agreements that have been cemented and commitments for almost 5,000 electric vehicle conversion kits to-date. We have also signed a binding LOI with Toyota Australia which was announced in June. We continue to make investments in engineering, assembly and production capabilities and will continue to further invest in R&D going forward as well. We also achieved a major milestone in terms of our sustainable energy solutions strategy. We signed our first full suite SES feasibility study, which we are confident will lead into contracted projects. And that will – that’s with a leading English Premier League football club, Tottenham Hotspur in relation to both their training grounds as well as the stadium in North London. We also gained full ownership of the remaining 50% equity interest in the U.S. Solar joint venture, phenomenal consideration, unpacked further in terms of a new strategy that we are rolling out for that division. Moving on to the next page, this is a quick snapshot of the 12 months that was this time last year, we were navigating a very uncertain environment with COVID lockdowns and a very difficult path forward as far as our cash position was concerned. Obviously, that’s been transformed. So we have really pivoted from hyper turnaround mode to hyperscale mode now. And going forward, this is all about driving the Tembo business as well as the broader SES business for us. On the next slides, this sets out the key objectives that we communicated this time last year and put ourselves to account for. I am pleased to report that we delivered new flawless execution, credit to the team here. And we completed 16 out of the 18 objectives that we had set for ourselves. The only misses were securing new strategic development partners for our longer dated sites in the U.S. And we didn’t quite get the digital transformation solutions that we wanted to rollout to optimize data analytics. I think someone may need to go on mute if possible. Thank you. Just got some background noise. On the next slides, this is the board and leadership team. So we have beefed up the board as well as added to the leadership bench. We recruited Jos van der Linden as MD of Tembo in the Netherlands. We hired Gary Challinor, Australia’s Director of Sustainable Energy Solutions. And we also recruited James Howell-Richardson as our General Counsel. Joining us on the Board was Gemma Godfrey during the year. And we have also assembled an advisory council that has a very good mix of automotive, hardware, software, renewable energy and digital transformation capabilities. Moving on to the next slide, this is the profit and loss summary for the year. So unpacking further on the numbers I presented before, as mentioned, the group revenues down to $40.4 million better than what we had expected, given what we had to contend with in Australia, but nonetheless, we are not happy about that result. Gross profit was down as well. EBITDA negative $1.4 million versus $3.9 million in the prior year. That translated into group loss after tax which is statutory of $8 million versus $5 million in the previous year and statutory EPS of $0.49 negative versus $0.38 negative in the prior year. I won’t go through the next two slides which go into some depth in terms of reconciling underlying EBITDA to IFRS as well as EPS to IFRS. I can handle any questions in the Q&A section if anyone has got queries on those. Moving on to the balance sheet, so, net assets increased to north of $40 million versus $17.9 million this time last year. Total assets increased largely reflecting the increase in fair value attributable to the U.S. Solar portfolio, for which we acquired the remaining 50% for very nominal consideration. In addition, as I mentioned before, net debt has been reduced by just under $9 million to $14.5 million and that is principally with the largest shareholder, AWN in Australia. Importantly, we were also to remedy the net current asset deficiency that we had last year. So, that’s now in positive territory and we have got healthy cash balance as well. I am going to go through the individual business units and talk about the outlook for FY ‘22. So, starting first on Page 10 with Critical Power Services, that business has had to contend again with a number of delayed projects due to new lockdowns that have been introduced in Australia over the last month. We nonetheless do still expect them to be completed over the course of FY ‘22. The State of the Union in Australia is that the government there has said that they will stop lockdowns once vaccination rates hit 70% and potentially look to open international borders on a stage basis once vaccinations hit 80%. At the current rate of vaccination, the expectation is that 70% will be achieved sometime in October and 80% will be achieved sometime in early November. Based on these dates, we do expect strong rebounds for the critical power service business from October onwards. There has been no diminution in terms of tailwinds that underpin that business. There continues to be strong infrastructure spends that we expect will further increase to bolster the economy both at a federal and a state level. And of course we have got a resurgent mining sector where across a number of base minerals, base commodities rather, prices are at an all-time highs including iron ore. There is growing contracts at head of works that reflect these tailwinds for the lease businesses, particularly for J.A. Martin, which prior to alleged lockdowns was sitting on its record ever heads of works for that business. We will continue to focus on leveraging the critical power capabilities to support and integrate into a broader SES strategy and that we expect will yield some further revenue upside opportunities and time. Moving on to Tembo on Page 11, so in terms of FY ‘22, we are very focused on delivery of orders to key markets, especially Australia. This will obviously be influenced by the supply chain and border dynamics that everyone knows about. As we emerge from lockdowns, particularly in Australia, we expect that, that will help to unlock supply chain blockages as well. And we do expect to also see an escalation in demands from the mining and other off-road sectors that we plan to manage through the introduction of a bill slot program. So managing that demand is going to be a key tension versus the supply chain obstacles that will need to overcome. In addition to that, we will continue to focus on further R&D to be undertaken in the Netherlands, in the UK, as well as Australia to further enhance the product offering that Tembo has. Moving on to the next slide, Sustainable Energy Solutions, so we will continue to focus our SES efforts on the mining and infrastructure, including sports infrastructure sectors globally. We know for a fact that decarbonization is an increasing focus of the mining industry, where 89% of executives expect sites to electrify within two decades. 61% believe next generation mines will be all electric, and 83% think renewables will drastically change mining operations. We know this firsthand from being a member of what’s called the Electric Mines Consortium in Australia, where we are in a constant dialogue with the mining companies and the industry more generally. We expect to deliver the first SES projects with Tottenham, obviously, a high profile company, and that will stand us in good stead in terms of developing further pipeline in terms of SES customers. Moving on to Page 13, we have called this Vivo Solar on this deck, we announced just after releasing this that we have changed the name of this entity to Caret Solar. And Caret Solar will be focused on what’s called Power2X applications, as the Power2X in simple terms, means the excess of – the use of excess renewable energy over and above base-load power for other energy intensive applications. The highest profile of this at the moment is crypto-mining, where we are seeing an increasing appetite from crypto-mining grubs to vertically integrate layer operations to include the renewable generation plants. And given the excellence of crypto-mining grubs out of China in particular, there is a very strong demand that we are seeing for renewable plants across the U.S. and rest of the world. Another area where we expect to see increasing demand is from the green hydrogen sector, also very energy intensive industry that wants to be green. This will be especially the case as $1.2 trillion infrastructure bill in the United States is passed, given the attractive incentives in the bill for green hydrogen developers and producers. So, we believe with the Power2X potential of Caret’s projects, which are located in Texas and New Mexico. In areas with relatively low solar project penetration, we expect that there will continue to be strategic interests in that portfolio from various Power2X players. That being said, solid developments and isolation is no longer our core activity. We are very much focused on our core sustainable energy solutions. So, our intention is to reinvest any proceeds generated from any potential monetization of Caret projects into our core SES strategy. Turning to the last slide, so these are our objectives that we are going to hold ourselves accountable to – for FY ‘22. The theme is to accelerate execution across all growth factors. First one is to expand on our SES pipeline and delivery capabilities. We want to complete the Tottenham Hotspur projects. We want to further build out our engineering and sales teams to grow the SES pipeline. We want to look at enhancing our capabilities through acquisitions and joint ventures. Second one, we want to grow the Aevitas business units to support SES. First, amongst that is to complete all scheduled works including delayed projects, further expand the collaboration between SES, the SES team, as well as the Tembo team to further accelerate growth for Aevitas itself. And we are also completing a strategic review of M&A and joint venture opportunities that could enhance growth further. Next one is to deliver on Tembo orders on-schedule and on-budget. As I mentioned before, we want to complete a build slot strategy to enable just in-time assembly. We want to execute to the necessary timelines to deliver on orders, and deepen our collaboration with distribution partners to accelerate delivery of conversions. We are also focused on advancing the e-LV product design, supply and quality initiatives are also front of mind. So, that includes completing the engineering and mass production model for e-LVs, expanding the supply chain network for key components to de-risk that, increasing R&D to improve hardware, software, and data capture to OEM standards. Next one is to cement partnerships with TMCA, which is to Toyota Motor Corporation of Australia, as well as global distributors. We mentioned in June, in our press release that we have been looking to work on a MSA or a Master Services Agreement with Toyota. We have a strategy to also grow our global distribution network to all continents by the end of this calendar year. And in doing so, we want to secure an additional 5,000 e-LV kits globally, which will bring us to just under 10,000. Last but not least, we want to execute on corporate initiatives to support growth. As I mentioned before, this includes maximizing value of our U.S. solar portfolio with Caret by our strategic initiatives. We want to complete the digital transformation and workflow automation across the group, which will really underpin accelerated scale-up. And importantly, we also want to retain our focus on B Corp impact and the triple bottom line mantra that we subscribe to. Thank you for listening into our FY ‘21 full year results presentation. I will open it up to questions at this juncture.
Operator:
Kevin Chin: Okay, shall we bring the meeting to a close?
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.
Kevin Chin: Thank you, all.